Operator: Good day, ladies and gentlemen, and welcome to the Maiden Holdings third quarter 2014 earnings conference call (Operator Instructions) I would now like to turn the conference over to our host for today's call, Mr. Noah Fields, VP of Investor Relations. You may begin.
Noah Fields: Good morning, and thank you for joining us today for Maiden's third quarter 2014 earnings conference call. Presenting on the call today we have Art Raschbaum, Maiden's Chief Executive Officer; along with Karen Schmitt, our Chief Financial Officer. Also in attendance today are John Marshaleck, Chief Operating Officer; and Pat Haveron, President of Maiden Reinsurance Limited. Before we begin, I would like to note that the information presented here today contains projections or other forward-looking statements regarding future events or the future financial performance of the company. These statements are based on current expectations and future events and are subject to a number of risks and uncertainties that could cause actual results to differ materially from these expectations. We refer you to the documents the company files from time-to-time with the Securities and Exchange Commission, specifically the company's Annual Report on Form 10-K and our Quarterly Reports on Form 10-Q. Some of our discussions about the company's performance today will include reference to both non-GAAP financial measures and information that reconciles those measures to GAAP as well as certain operating metrics and maybe found in our filings with the SEC and in our news release located on Maiden's Investor Relations website. Please also note that unless otherwise stated, all references to common share data in today's discussions are on a diluted share basis and comparative comments will refer to Maiden's results in 2014 relative to the corresponding period in 2013. I will now turn the call over to Art.
Arturo Raschbaum: Thank you, Noah. Good morning. Welcome and thank you for joining us today for our third quarter earnings call. Throughout 2014, we continue to realize solid progress and carefully growing our underwriting portfolio, strengthening our operating performance and importantly enhancing our operating return on common equity. I am pleased to report that our third quarter results continue to reflect this trend with strong, but disciplined revenue growth from all active segments, continued profitable underwriting results, growth in invested assets, growth in investment income and importantly continued improving operating returns on equity. Maiden's results continue to benefit from our disciplined focus on lower volatility, non-catastrophe reinsurance business, supporting the capital needs of regional and specialty insurance companies, along with strong underwriting performance from our AmTrust segment, reflecting continued solid performance in the small account workers compensation segment. For the quarter, Maiden generated a historically high level of earnings of $0.38 of diluted operating earnings per common share or $29.3 million. Importantly, we see opportunities to further strengthen results. Maiden's 13% operating return on equity during the first nine months of the year is evidence of the improved earnings power of Maiden's business, since the replacement of the 14% coupon trust deferred securities in January of 2014. For each quarter of 2014, our operating ROE has been comfortably above 10% and moving towards our targeted performance level of 15%. We'll continue to work diligently to optimize our balance sheet, strengthen our underwriting margins and grow investment income. In the first nine months of 2014, net premiums written for Maiden have increased 13%. Excluding the cancelled NGHC business, net written premium has increased 25%. During the third quarter, net premiums written grew 31% with both of Maiden's active operating segments contributing to growth. In the Diversified Reinsurance segment, net premiums written were $220 million or an increase of 17% from the prior year. In the U.S., organic growth from existing clients continues to be a strong driver, along with the addition of several new client relationships. As I have mentioned before, growth from existing customers is an important element of our business model and it actually allows us to expand relationships with customers who we already know and have credible experience with. As always, competition is strong in our mature marketplace. However, by carefully targeting our customers and focusing closely on their needs, we've been growing relationships and also winning new business as well. Outside the U.S., Maiden's International Insurance Services unit or IIS third quarter premium volume was essentially flat. But business opportunities are plentiful through longstanding strategic partnerships in our U.K. based OEM-focused marketing team, which is now actively marketing our services and products to potential new auto manufacturing clients. As you'll recall, the IIS unit is focused on partnering with insurers and auto manufacturers to deliver branded products to their consumers. In Bermuda, we've continued to focus on international reinsurance opportunities, particularly in Europe. And we've made significant strides in the quarter, as we've initiated our marketing efforts, focused on the capital needs of regional and specialty insurers in Europe. In the AmTrust segment, we continue to see strong growth with net written premiums in the quarter totaling $386 million, which is an increase of 49% from the prior year. This growth is primarily driven by the expansion of the small account workers compensation segment in the U.S., and of course the Tower renewal rights transaction. Workers compensation pricing has remained strong, particularly in the markets of focus for AmTrust, such as California, where they have developed a market-leading position in small account lower hazard business classes. We continue to be very satisfied with the quality of business ceded to Maiden from AmTrust. Similar to many to our clients, we work closely with our largest client during regular audits, site visits and managing meetings to ensure that we have a clear understanding of the underlying business and how it's performing. For the nine months ended September 30, Maiden reported a combined ratio of 97.8%. That's up slightly from the 97.6% during the first nine months of last year. In the Diversified Reinsurance segment, the combined ratio for the first nine months was 98.4%, and that's up from 98.1% in the prior year. The Diversified segment treaty portfolio, you may recall, has been impacted by a number of unrelated property losses in the U.S. during the first half of the year. We implemented underwriting actions, addressing our excess of loss programs over the last several quarters, and we've observed more stable performance in the treaty portfolio. However, in the quarter we did experienced elevated casualty loss activity, predominantly from our faculty of commercial auto segment or business. Absent these losses, Diversified combined ratio would have been approximately 0.6 percentage point lower. We've taken underwriting actions on specific facultative accounts, and despite this elevated level of loss, our facultative book remains one of our highest margin portfolios. In Europe, steps taken during the end of 2013 and early 2014 have resulted in improved profitability, and the IIS business combined ratio is running at target for the first nine months of 2014. And of course, AmTrust continues to be a very profitable contributor to Maiden's results with a combined ratio of 95.6% in the first three quarters of 2014, which is largely unchanged from the same period last year and remaining better than target. We believe that the third quarter illustrates the growing earnings power of Maiden and the value of our highly differentiated business model, again focused on serving the non-cat needs of regional and specialty insurers. Importantly, we believe that we posses a number of significant competitive advantage that will continue to serve us well, as we continue to build our business and strengthen our operating performance. I'd like to now turn the call over to our Chief Financial Officer, Karen Schmitt, to review the third quarter in greater detail. Karen?
Karen Schmitt: Thank you, Art, and good morning. As Noah said earlier, unless otherwise stated, all references to common share data are on a diluted share basis and comparative comments will refer to Maiden's results in 2014 relative to the corresponding period in 2013. Maiden reported record net operating earnings for the third quarter of 2014 of $29 million or $0.38 per diluted common share compared with $23 million or $0.31 per diluted common share. The third quarter operating ROE of 12.9% compares favorably to the 11.1% produced in the third quarter of 2013. Before we get into more detail about the quarter, I would like to discuss one housekeeping item with regards to the revised structure of Maiden's reported segments. As you will see in our earnings press release, there is no longer a segment called NGHC Quota Share. Instead, the results of the operations of the former NGHC Quota Share segment and the remnants of the E&S property business that we sold last year have been included in the other category. This revision has no impact on net income, operating income or net income per common share reported in current or previous periods. In the third quarter of 2014, net premiums written totaled $605 million, an increase of 31%. The Diversified Reinsurance segment net premiums written totaled $220 million, an increase of 17%. Excluding the canceled NGHC business, net premiums written have increased 36%. The growth in the Diversified Reinsurance segment's premium was largely the result of increasing shares of existing client business and underlying client premium growth with the modest amount of new business. In the AmTrust Reinsurance segment, net premiums written increased by 49% to $386 million, driven by favorable trends in business lines, particularly workers compensation as well as new business from the Tower renewal rights transaction. Net premiums earned of $592 million increased 17%. Excluding the canceled NGHC business, net premiums earned have increased 34%. Net premiums earned increased 18% in the Diversified Reinsurance segment to $233 million. The AmTrust Reinsurance segment earned premiums were up 48% to $359 million. Net loss and loss adjustment expenses were up 17% to $400 million compared to the third quarter of 2013. The loss ratio of 67.2% was higher than the 66.8% reported in the third quarter of 2013. As we have commented previously, the majority of our business is priced to combined ratio. Therefore, business mix changes between excess of loss in quota share business from period-to-period can impact the ceding commission. For example, if we write more excess business, we will see a lower expense ratio and higher loss ratio and vice versa for quota share business. The combined ratio for third quarter of 2014 totaled 97.8% compared with 97.6%. The Diversified Reinsurance segment combined ratio was 99% in the third quarter of 2014, up from 98%. In the third quarter of 2014, the Diversified segment combined ratio was impacted by a modest amount of reserve deterioration, which was largely commercial auto business. The AmTrust Reinsurance segment reported a combined ratio of 95.5% in the third quarter of 2014 compared to 95.6%. Record net investment income of 29.5% in the third quarter of 2014 increased 27%. The average yield on the fixed income portfolio, excluding cash, is 3.56%. The new money yield on fixed maturities in the third quarter was 3.2%. Including cash, the average duration is 4.60 years versus an average duration of liabilities of 4.34 years. Total investments increased 7% to $3.5 billion, as cash generated from Maiden's business was put to work in fixed income securities, primarily investment grade corporate bonds in government sponsored entities. It is important to note that we are maintaining our conservative fixed income investment strategy. Operating cash flow was $507 million for the nine months ending September 30 and $271 million for the quarter. Cash and cash equivalents decreased from $292 million at June 30 to $273 million at the end of the third quarter. As we put this cash to work, we anticipate this will incrementally benefit our operating results. Total assets increased 7.3% to $5.1 billion at September 30, 2014 compared to $4.7 billion at yearend 2013. Shareholders' equity was $1.2 billion, up 8% compared to December 31. Book value per common share was $12.33 at the end of the third quarter of 2014 or 11% higher than December 31, 2013. Finally, I was very pleased that the Board of Directors had the confidence to increase the quarterly dividend by $0.02, an18% increase, which recognizes the 29% increase in Maiden's operating earnings year-to-date compared with the same period last year. This is consistent with the Board's actions in the past, when they've seen an improvement in the run rate of the business; they've rewarded shareholders to an increase in the quarterly dividend. I will now turn the call over to Art for some additional comments.
Arturo Raschbaum: Thank you, Karen. Turning now to market conditions, we just completed several of our more important annual pre-renewal events. In the U.S., the NAMIC convention, which is a trade association for mutual insurers; and the PCIA, which is a large industry trade association representing over 1,000 member insurers. Additionally in Europe, we attended the Monte Carlo Reinsurance Rendezvous and Baden-Baden Reinsurance conferences. I've commented in the past several quarters that while competition in our very defined market space is certainly not as intense as the competition in severity markets such as property cat; nevertheless, we still see evidence of an intensifying competitive market in our target segment. It's clear that participants at these various meeting were beginning to express concerns about pricing pressures in local markets. Several of rate-level tracking services in the U.S. are indicating that the pace of rate level increases is moderating, but the trend in the primary market is still modestly positive. There are, as always, differences by geography and by line of business, but the trend is fairly clear. Internationally, reinsurance in primary markets remains competitive, but we believe that there is an increasing amount of interest from smaller companies to strengthen their capital in advance of risk-based capital rules or Solvency II. In our OEM focused business in Europe, competition is stable. And we believe there are opportunities to extend our business in this segment with a unique business model. From a reinsurance deal flow perspective, we believe that we'll have a significant number of holding opportunities at yearend in the U.S. And of course, we continue to work with our current clients to expand relationships. Several clients and prospects have approached us to discuss the need for capital support, following a challenging year of weather-related frequency activity. From a renewal perspective, we have a number of contracts prenegotiated and committed. We're finding that for the most part clients that have seen adverse experience have been willing to adjust forward pricing with us when appropriate. And then a number of accounts with expected performance have been renewing is expiring. Regardless of the opportunity we'll continue to take a disciplined approach to pricing and technical underwriting. And importantly, we'll focus on delivering differentiated value to our clients. As I've indicated in the past, growth for the sake of growth is never an objective. Internationally, in our Diversified Reinsurance segment, we see a significant number of opportunities to expand our auto manufacturing brand insurance solutions business to other OEMs and geographies and are actively in dialogue with the prospective manufactures as well as existing business partners. In the regional and specialty insurer market segment in Europe, we're also beginning to market our unique capital solutions approach to capital-sensitive small and midsize companies with a blend of traditional reinsurance solutions that are collateralized and partner-provided capital market solutions. In addition, we recently established a strategic partnership with a very unique asset manager based in Dublin, the insurance regulatory capital. They are focused on originating and developing subordinated debt solutions that effectively respond to regulatory capital needs of private insurers and in combination with our collateralized reinsurance will assist in delivering highly differentiated solutions to regional and specialty insurers in Europe and beyond. And finally, from our largest client AmTrust, we expect to see continued growth in their core small account business, reflecting both pricing power in select markets and the impact of the renewal rights transfer of the Tower business. We found that AmTrust remains focused on ensuring that profitability holds and we've seen no examples of weakening underwriting standards. As we move forward, we remain confident that our differentiated lower volatility business model will continue to service well. We believe that our strategic position in our target markets, our growth opportunities across our business segments, and our strong and growing balance sheet, along with our disciplined underwriting approach will help to drive increased earnings and returns. Thank you very much.
Noah Fields: Operator, could you please open the line for Q&A.
Operator: (Operator Instructions) And our first question comes from Matt Carletti of JMP Securities.
Matt Carletti - JMP Securities: Just have a few questions. First one is on the growth in Diversified. It has been another strong quarter. Can you just -- don't need the exact numbers, but just kind of maybe ballpark. I mean, you mentioned a few sources behind the growth; new business, growth with existing clients, obviously there could be rate and some other changes in there. Of the 16% year-to-date growth in diversified premiums, can you roughly ballpark, which bucket has which amount?
Arturo Raschbaum: Well, certainly the majority is coming from existing clients. I'll give you an example. We were talking about this, just recently with the Board. We have one account, where we had an excess position. It was a $1 million kind of access contract; client came to us for additional capital support, became a $20 million contract in the year. And we've had others similar. So I would say that significantly, the preponderance of the opportunities are growth with existing customers. Karen mentioned, it's relatively small amount of new accounts. But as you know a lot of those new accounts become kind of engines for future growth. So I don't have exact percentages, but I'd say it's dominant.
Matt Carletti - JMP Securities: Second question is just on, I know it wasn't that large at 0.6 points I think you quoted, but just the adverse development in commercial auto, the fact book, can you just give a little color on what you think is driving that? I know that you aren't the first to see that. There has been many others that have dealt with it, but I'm just curious if it's the same sort of thing or if you're seeing something different.
Arturo Raschbaum: I mean, I think we're seeing just some kind of additional case development that's occurring on kind of select claims. Typically in most quarters, we see ups and downs on individual claims and generally they tend to balance out. This quarter we had an elevated level that took us a little bit over. It's still a relatively small amount of development. I'm not sure we'd say at this point that it's a trend we expect to see continue, but we're watching it carefully. I think it's really a bit more severity on the number of claims that have already been reported.
Matt Carletti - JMP Securities: And then last question. Just you mentioned in your closing comments there a new strategic partnership with an alternative asset manager in Dublin. Any more color you can give us around that? When that relationship goes live or is it already? And is it focused on all the EU or what's the scope of it?
Arturo Raschbaum: Well, initially it's focused on kind of the EU select markets. I think that we've kind of been working with them through most of the summer and really have forged a kind of strategic relationship. As you know Pat Haveron runs the Bermuda platform and he has been extensively partnering with them and actually visiting prospective clients and producers in Europe, just sort of in preparation. I think it's going to be a situation that we don't expect to see meteoric growth, but we definitely expect to see and are seeing deal flow developing. The interesting part of kind of the technology and approach they've developed is that subordinated debt seven to 10-year duration is actually quite responsive to capital needs for many of the companies that are going to be capital constrained in the Solvency II environment. So we think it combined with reinsurance solutions can really produce a very nice differentiated balanced approach to capital for a lot of these companies, and we frankly think it's a nice entry point for us into that market.
Operator: Our next question comes from Randy Binner of FBR Capital.
Randy Binner - FBR Capital: Just picking up on a couple of follow-ups on the Irish or the Dublin alternative asset managers. So you're focusing on Solvency II solutions for capital constrained European insurers. Can you just remind us, is that going to be kind of small, regional mutual companies in Europe? And kind of can you give us a sense of timing when that might kick in?
Arturo Raschbaum: I mean, I would say, our general view is that the large sort of public and multinationals are well prepared. They have developed their proprietary capital model. They've had them certified by the regulatory authorities. It's kind of the small to midsize companies that will probably have to revert to default models, and for a lot of those companies we'd like to help them kind of understand that. But it's clearly a small to midsize company approach, much like the U.S. I think that's where we really can add the most value and develop really the kind of lasting capital partnerships that we want to bring to the mix. So as far as opportunities, we do have some live opportunities that we're looking at currently, and we'll see how those develop. Solvency II still is 2016 implementation date, but the one thing that we've learned that regardless of what ultimately happens with Solvency II, I think there is a heightened sense of awareness of risk-based capital across the marketplace, and we'd like to be a solution provider for the smaller companies that may not have the same level of sophistication that need assistance.
Randy Binner - FBR Capital: But when would you say the bulk of that opportunity is going to come though?
Arturo Raschbaum: It's hard to tell. I mean, we know we're going to have to quoting opportunities imminent, right. And we expect to see that through 2015, how many of those we land and turn into opportunities, it's anybody's guess. We're pretty confident that the tools that we're bringing to the market are kind of unique and heavily differentiated. So we're cautiously optimistic that we can see some impact in 2015, but I'd say, right now, it would be a bit of guess.
Randy Binner - FBR Capital: And then on the commercial auto book, is that like one program? Can you share what accident years the business was written in? And what kind of risks they were; like was it tractor-trailers or was it delivery vans? Just a little bit of color on what's going on there.
Karen Schmitt: As I think, you know, we look at every customer, every quarter from a reserve review standpoint and we have lots of ups and downs. And usually it just blends out to be pretty close to no change. This particular quarter we had a few more positive movements. It wasn't really related to any particular underwriting year or accident year or class of business, frankly. There are little bits and pieces in various places, and it just turned out that we had more positive movements than negative this quarter.
Randy Binner - FBR Capital: Meaning more adverse development than positive?
Karen Schmitt: More adverse. Sorry. Yes, upward in reserve amounts.
Randy Binner - FBR Capital: So just kind of broad, nothing like a bad program that had to get shut down, so what are the underwriting measures that you're taking then if it's broad based?
Karen Schmitt: From a commercial auto standpoint, we are looking at some of the tractor-trailer, long haul trucking a little more closely, as we've noticed that there has been a bit more severity there. But some of the other parts of the programs are really, it's just more randomness, and we're not as concerned about that. But you're correct in asking earlier, tractor-trailers and long haul trucking is something that we're looking more closely at.
Arturo Raschbaum: And I would add, Randy, that those that we can kind of isolate to a specific customer, we see it producing adverse results. We're clearly working to strengthen pricing, working with the client on risk reselection as well. So we have a performance management process that we instituted throughout the company for many years and when an account is performing out of target that initiates a whole process that really involves a workout plan to strengthen the performance of the business or to terminate.
Karen Schmitt: The one thing that I would add is in this space, in the facultative area, this still continues to be our highest margin business. So while we've seen some adverse development, even some of the trucking accounts that we're looking at, some of them continue to be very, very strong performers.
Randy Binner - FBR Capital: And then on capital. This is a question, I think, I ask on every conference call, but because of the growth, the premiums to capital, premiums to total cap or premiums to statutory surplus, it goes up, right. And then we have that metric at like 1.6 maybe 1.7 in full-year '15. I know there's no magic rules on that operating leverage metric, but I'd just be interested -- that's got to be high, I think for Maiden and what you want to accomplish rating wise. And so I'd just be curious kind of on an update. I think you have talked about having room for a little bit of debt in the past, but there's also got to be a ton of opportunity in the alternative reinsurance space to look at sidecars and other retro structures. So can you just give us a feel of what your capital opportunities are for Maiden, because if I run rate this growth, I'd start to use up the capital pretty good in the model?
Arturo Raschbaum: Randy, I think clearly the growth this year, a lot of that's being generated by the Tower acquisition, and we'll see some of that affecting us next year as well. But we think a fair amount is in our numbers or will be in our numbers by the end of the year. That said, I mean we don't anticipate the same level of growth in 2015. So we think things will moderate. We still expect to see growth. And we're always, we've been as a company formed in 2007, we've always been kind of making sure that we're kind of ahead of the curve on capital. We want to make sure that we obviously maintain our ratings and maintain a strong balance sheet for our client. So we have a variety of leverage probably more today than we've ever had. Obviously, as you correctly pointed out, we do have some room in terms of hybrid debt. We also, even before you get into more of the esoteric structures, the sidecars, and so on, we think we have some solid opportunities for retro support, if we so desire. Whatever we do, we'll follow the same historical path, which is looked for the most shareholder-friendly, most accretive capital solution. But we don't believe that our hands are tied. We're not going to suppress profitable growth opportunities. We're going to make sure that we have capital to support profitable growth of the business.
Randy Binner - FBR Capital: Indeed. And I mean, it sounds like the other side of your comments earlier about the reinsurance market being competitive is that you should have better opportunities. So is it getting to a point where retro or sidecar is more attractive than debt maybe? Is it getting that inexpensive to try and tap into capacity providers that are out there?
Arturo Raschbaum: It's a great question. To be determined, right. We do have active dialogue and we've had dialogue with the number of participants over the year, and we'll see at the end of the day whether we find a structure that works for us. But clearly, we're looking at it from efficiency something that is accretive to our results. So I think we're cautiously optimistic that there are sources out there beyond just traditional capital market solutions. Well, there do not seem to be any additional questions. Thank you. I know it's a busy day for everyone, so thank you for joining us. And we look forward to speaking to you next time. Have a great day.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation and have a wonderful day.